Operator: Welcome to the MPLX Third Quarter 2013 Earnings Conference Call. My name is Brandon and I'll be your operator for today. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn it over to Ms. Pam Beall. Pam, you may begin.
Pam Beall: Thank you, Brandon. Good afternoon and thank you everyone for joining us for the MPLX third quarter earnings webcast and conference call. You can find synchronized slides that accompany this call on the MPLX website. On the call today are Garry Peiffer, our President of MPLX; and Don Templin, our Chief Financial Officer. If you turn to slide two, we encourage you to read the Safe Harbor statement; it’s a reminder that we will be making forward-looking statements during the presentation and during the question-and-answer session. Some forward-looking statements may relate to MPLX’s sponsor, Marathon Petroleum Corporation. Actual results may differ materially from what we expect today and factors that could cause actual results to differ are included here as well as in the filings of both MPLX and Marathon Petroleum, those are filed with the SEC. Just as reminder we will be hosting an Analyst and Investor Day at the St. Regis Hotel in New York on December 4th. If you’ve not received an invitation and wish to attend, please contact me and we’ll get you registered. I’d now like to turn the call over to Garry Peiffer for opening remarks.
Garry Peiffer: Good afternoon and thank you for joining us today for the third quarter earnings conference call for MPLX. Consistent with our expectations, MPLX reported solid financial results for the quarter that yielded 30.5 million of adjusted EBITDA and $31.1 million of distributable cash flow. We are pleased that our Board of Directors declared a distribution of [$29.275 cents] per unit or $1.19 per unit on an annualized basis. This represents an increase of $0.125 per unit or 4.4% above the second quarter 2013 distribution of $0.285 cents per unit. Our team continues to pursue growth opportunities for MPLX that focus on multiple avenues to achieve our desired growth in annual distributions. In addition, Marathon Petroleum Corporation, MPLX’s sponsor, continues to advance organic investments in its midstream businesses that will provide a catalyst for significant earnings growth and are candidates to be dropped into MPLX when these projects achieve stable cash flows. MPC’s participation in the recently announced Southern Access Extension project is just one example. Marathon Petroleum is also very active in the Utica shale play in Eastern Ohio. MPLX and MPC are developing a new pipeline project in the Utica shale region that will initially connect multiple production facilities in Eastern Ohio with MPC’s Canton, Ohio refinery and other MPLX pipelines in the area. This project will complement the existing condensating crude oil truck unloading facility at Canton and the truck to barge logistics operations at Wellsville, Ohio that was brought online in October. We continue to be enthusiastic about the prospects for MPLX. As we mentioned before, we remain committed positioning MPLX among the top MLPs and we are targeting an annual distribution growth rate of 15% to 20% for at least the next several years. We will continue to pursue opportunities that support that intent. Now, we’ll turn the call over to Don Templin to review the financial results for the quarter.
Don Templin: Thanks Garry. As you recall, the historical financial statements of MPLX prior to the IPO in 2012 included the results of certain undivided interest pipelines that were not contributed to MPLX at the time of that IPO. In addition, certain of the tariffs were adjusted in connection with the IPO. As a result there are a number of factors affecting the comparability of our pre-IPO financial statements and their current period’s results. Given these differences, and consistent with the last several quarters, I will focus my comments to day on MPLX’s actual third quarter 2013 results as compared to the projected results that we had included in the prospectus that were prepared at the time of the IPO. The waterfall chart on slide four compares the estimated third quarter 2013 net income shown in the prospectus to the third quarter 2013 actual net income. The primary drivers for the increase in our net income were lower expenses and higher tariffs partially offset by lower throughput volumes on our pipelines. Expenses were lower primarily due to the timing of planned project work. While our crude and product pipeline throughputs were lower than projected, minimum volume commitments from MPC allowed us to maintain a stable stream of cash flow to MPLX. These payments are included in distributable cash flow in the current accounting period but are classified as deferred revenue in the financial statements. Revenue will be recorded when the credits are used or expire. Turning to slide five, distributable cash flow for the third quarter of 2013 was 31.1 million compared to $20.7 million estimate included in the prospectus. While the MPC deficiency payments I just discussed don't immediately enter into the determination of income, they are included in determining distributable cash flow for the quarter. As you can see on this slide, there was $5 million related to MPC deficiency payments in arriving at the 31.1 million or distributable cash flow for the 2013 third quarter. Just as a reminder, the reverse will be true when the credits are either utilized or expire. That is, there will revenue in earnings recognition but no impact on distributable cash flow in the period. In addition, distributable cash flow for the 2013 third quarter was favorably impacted by increased earnings associated with the drop down that was made in May 2013. As Garry Peiffer mentioned, our Board declared a cash distribution of [29.75 cents] per unit which represents a $0.125 per unit increase over our second quarter distribution and $0.035 cents per unit over our minimal quarterly distribution. The total cash distribution for the third quarter will be $22.5 million and represents a covered ratio of 1.38 times. Our covered ratio will fluctuate from period to period primarily due to the seasonality in our planned spending profile. Slide six shows that at the end of the third quarter we had $86.9 million of cash primarily consisting of proceeds from MPLXs initial public offering, which will retain to pre-fund capital projects. We also have access to a $500 million undrawn revolving credit facility to fund organic growth opportunities or acquisitions from MPC or from third parties. With minimal debt, our consolidated total debt to consolidated EBIDA covenant ratio is close to zero at 0.1 times, well below the maximum allowed of five times. In closing, Slide 7 includes a number of financial trends demonstrating our strong performance since IPO. We believe, we are well positioned to sustain this strong performance and growth into the future. And now, I will turn the call back to Pam Beall.
Pam Beall: Yes, Brandon, we are now ready to open the line for question.
Operator: Thank you and we will now begin the question-and-answer session. (Operator Instructions) And from Barclay, we have Brian Zarahn on line. Please go ahead.
Brian Zarahn - Barclays Capital: Good afternoon. I guess, looking at third quarter pipeline volumes, what drove throughputs to come in a little bit below expectations?
Don Templin: Well, there were several factors; one was the fact that MPC, the sponsor had significant exports and so those exports took volumes away from the Garyville-Zachary Line and I would say that drove a significant amount of that.
Brian Zarahn - Barclays Capital: Is that something that we should expect to continue from several loss volumes from exports or do the -- how should we think about that?
Don Templin: I guess, when we set the volumes originally and when we set the minimum throughput arrangements, that was a 10-year look and so we anticipated that from time to time there would be quarters or other periods where the volumes would move around, but I think that, generally, we think there is a reasonable mix right now where those volumes won’t fluctuates significantly from what we are out there estimating.
Brian Zarahn - Barclays Capital: Okay that’s helpful and looking at your 15% and 20% distribution growth target. For 2014, how should we think about on the metrics, are you looking at full year 2014 distribution declared or you’re looking at the fourth quarter of 2014 annualized versus the [$1.5] distribution initially?
Don Templin: It would be the annualized 2014 but comparative to [$1.5] -- to the payout in 2013.
Pam Beall: [Indiscernible] and then 2014 would be annualized fourth quarter compared to 2013 annualized fourth quarter.
Brian Zarahn - Barclays Capital: And then on the Utica pipe project can you give a little -- some additional color on expected capacity cost potential returns.
Don Templin: Sure, you might appreciate the fact that this is fairly new project for us that we’re still trying to get some definition for and we’re expecting to be about a 50 miles of pipe about 8 inch diameter pipelines what we’re looking at the moment roughly in the range in the $100 million plus or minus, we’re still in the definition phase of what we’re going to be doing with all of the ancillary facilities. So it will be primarily used to ship condensate and to crude and natural gas line from the Utica formation up to either our Canton refinery or over to Wellsville. So, we’re still working on the details of the transaction but it will connect some of the production in Southern -- Southeastern Ohio into our facilities more in to our facilities more in the Canton [wells area]. So, it won’t be on stream until probably 2017 or so. So, we are beginning to right way work as well as planning for the construction.
Brian Zarahn - Barclays Capital: Just one follow up on that. How would you anticipate the cost to be shared between MPC and MPLX?
Don Templin: Well, we would look at this as that MPLX with on the line and would have a reasonable tariff they would generate on the line and so there would be no sharing of the refinery profitability that may accrue because of bringing this production to Canton or bringing over the Wellsville. So, it would be more of a traditional pipeline type of tariff arrangement on the line.
Operator:  From Bank of America we have Brian Brazinski on line. Please go ahead.
Brian Brazinski - Bank of America: Yes, hi, was just curious to get a little bit, expand a little bit more on what Brian had just asked, so to be a little bit more clear, is this going to be developed within MPLX holding, or…
Don Templin: Yes.
Brian Brazinski - Bank of America: And then the only other question I had is, if you guys don't mind just discussing your thoughts or outlook for continued drop downs of MPLX holding.
Garry Peiffer: Well, as we've -- this is Garry, as we said often times you know our major goal is to achieve an annual distribution growth rate of you know 15-20% for at least the next several years and fortunately we have a number of levers to achieve that annual growth, you know the first and foremost is that about 90% of the revenue of MPLX is for fee based revenue so with the indexing methodology that [indiscernible] has we have a pretty good increase in bottom line or in distributable cash from the increasing tariffs. Secondly we're going to be providing for and hopefully completing here relatively shortly some new organic projects, one of which is like this expansion we talk about in Udico although that's not immediate, we're trying to build the inventory of projects within MPLX to allow us to achieve some organic growth. We're looking at a lot of opportunities to acquire assets so that will be our third way of acquiring or growing the business and the cash. And last we have the final lever to the point that we need to contribute or grow the EBITDA a little bit further to achieve that 15%-20% goal will be dropped, so at the moment they would be our fourth lever we would pull after the other three -- when the other three didn't achieve that growth rate we were trying to achieve.
Operator: (Operator Instructions)
Pam Beall: Hey Brian, it appears as though there are no further questions, so we'll go ahead and terminate the call? Thanks everyone for joining us today. If you have any follow up questions, Beth Hunter, Jerry Yu and I are in the office this afternoon we would be happy to take your questions. Thanks everyone, bye.
Operator: And this concludes today's conference, thank you for joining, you may now disconnect.